Jes Staley: Good morning, everyone. And thank you for joining this 2016 Third Quarter Earnings Call. The performance we have reported today represents a period of strong progress against our strategy as we outlined on March 1st, and we have moved another stride closer towards completing the restructuring of Barclays, a restructuring that will create a simplified bank producing high quality returns for our shareholders, and on a sustainable basis. Looking at each of our strategic priorities, we have cause to be encouraged. First, our core businesses continue to perform very well, with a combined return on tangible equity, excluding notable items, of 10.4% for the third quarter. And our underlying core profit before tax increased 16% compared to the third quarter of 2015. The majority of that improvement in profitability came from our Corporate and Investment Bank, driven in large part by very strong performances in Credit Trading and Macro, where these two desks have generated 40% greater revenue this quarter than in the same quarter last year. Barclays UK continues to perform very well, producing an impressive underlying return on tangible equity of 21.1%. We have remained resolutely open for business since the Brexit vote in June, as our personal banking customers and business clients have continued to seek our support and advice. During the quarter, Barclays made over 100,000 consumer loans, up some 20% from last year. We lent just over £1 billion to small businesses, and £160 million to British farmers alone. Mortgage completions were nearly £5.4 billion, up on the same period last year, and application rates are also holding up reasonably well compared to the third quarter of 2015. We’ll see how the next few months progress of course, but as of now we are encouraged by the resilience of the UK consumer and overall business confidence. Barclays International’s underlying return on tangible equity excluding notable items was a healthy 10% for the quarter. The Consumer, Cards and Payments business remains an exciting growth engine for the group, and our Corporate & Investment Bank continues to make good progress, including growing our market share in the Investment Bank. While we have benefitted at the top-line from the strength of the dollar and euro relative to the pound, the underlying businesses are performing well. This strong core performance underscores why the diversification we have deliberately built in our business model is so valuable to Barclays, particularly in volatile times like these. In the U.S., we have a great cards business, plus a large and successful investment bank, and these have both proved very positive for the group in a period of dollar strength. Our diversification across geography, currency, segments, and product sets, delivers an inherent advantage for Barclays that may be most clearly seen in the profitability and underlying operating leverage we have reported in the core in this past quarter. Second, turning to cost. While we saw operating expenses in the core increase by 5% in the quarter, due to the strong dollar and a real estate charge we booked, we remain committed to a £13 billion currency adjusted print for 2016, excluding conduct and litigation charges. In our core business the underlying cost to income ratio for Q3 was 56%. So, you can see the potential for us to attain our longer term target of a group cost to income ratio of below 60% as the group and core results converge. The three big levers to tackle costs in any bank are people, technology, and real estate. We have already made strong progress on addressing the first two of these in the past year, but we need to do more on the third. As I mentioned earlier, you will have noted that we have taken a charge of £150 million in the Corporate and Investment Bank’s numbers. This relates to a reduction in our real estate footprint which we anticipate finalizing in the next couple of weeks, and equates to the elimination of around 5,000 desks, or 25% of our London office space. Importantly, it means a structurally lower real estate cost base going forward. It’s also worth noting that if you backed this cost out of the Corporate and Investment Bank numbers, then the business actually produced a return on tangible equity in the third quarter of 11.6%, which bears comparison versus our peers. Third, non-core, where we have seen a further reduction in RWAs in the quarter to £44 billion, despite currency headwinds, which equated to about £1 billion. We are happy with the momentum in non-core and remain confident of closing the unit in 2017. You should note that while one can never predict the exact timing of transactions, we anticipate closing the sales of: our credit card business in Spain and Portugal; our wealth business in Asia; and our retail and corporate banking operations in Egypt; all in the fourth quarter of this year. We continue to make progress on other divestment opportunities, including the exclusive negotiations with AnaCap concerning the proposed sale of our French retail business, which will mark the final exit of Barclays from retail banking in continental Europe. Collectively, we expect these transactions to deliver a further £4 billion of risk weighted asset reduction. They will additionally mean annualized costs reducing by some £280 million, and a headcount roll off of some 3,300 people. We are also steadily reducing non-core derivatives, where we have a strong pipeline of interest, and see a clear path to where we need to be in 2017. I have no doubt in my mind that we will close Barclays non-core next year, minimizing the drag it creates, and helping group returns converge with core returns. Fourth, Africa, where we remain on track to exit the business over time, and are pleased with the continued level of interest in the asset since our first equity placing in May. Our focus right now is on negotiating a transitional service agreement with local management, an essential component in terms of our eventual ability to deconsolidate the business as a regulatory matter. This is complicated work. Barclays has been in Africa for over a century but we are making very good progress in planning for the operational separation of the two companies in a way which will preserve value for shareholders in both groups. From a capital perspective, we expect that the combination of the sale of Barclays Africa, after separation costs, together with the non-core rundown, will contribute around 100 basis points of CET1 ratio accretion once all of these are completed. This would be a significant contribution toward meeting our end-state target for CET1 capital of around 12.5%. Fifth, on capital, we reported a solid CET1 ratio of 11.6% at the end of the third quarter. What makes this a particularly strong point is that it was achieved despite the headwinds from the £1.1 billion UK defined pension fund deficit, and the further £600 million for PPI redress that we took in the third quarter. These two hits to capital, totaling some £1.7 billion were the equivalent collectively of close to 40 basis points of capital ratio accretion. Our ability to absorb all of that, and still hold CET1 steady at 11.6%, demonstrates clearly the capacity of our core businesses to generate capital organically. Because of this earnings power, and while the path of our capital end-state may not be linear, we have high confidence in getting to that capital end-state. In summary then, this has been another strong quarter of progress against Barclays’ strategy. Our core businesses are doing very well, non-core rundown is approaching the final stretch, costs are under control, exiting Africa is on track, and our capital position is healthy, with strong reasons for confidence in meeting our end-state target. So, I feel good about where we are heading, and I remain optimistic about our capacity to complete the restructuring of this business to become a high-performing transatlantic consumer, corporate and investment bank. Thank you. And now let me hand over to Tushar to run through the numbers in detail before we take your questions.
Tushar Morzaria: Thanks, Jes. You will have seen our Q3 results, which we published earlier this morning. The release primarily reflects year-to-date performance, but I’m going to focus on Q3. We have as usual highlighted the notable items. For Q3 the key element is the £600 million PPI charge, and when I run through the performance of the businesses, I will talk on an underlying basis, excluding these items. In this quarter, our core business again delivered a double-digit RoTE, 10.4% on an underlying basis, Barclays UK was at 21.1%, and Barclays International at 10%. Our CET1 ratio was resilient at 11.6%, flat on the half year, despite the headwinds Jes referred to. This result is strong evidence of our organic capital generation and underpins our confidence in meeting our end state requirements. We continued to make good progress in the non-core rundown, particularly in our business disposals, with the completion of the sale of the Index business, and announcement of the Egypt sale and we are on track to close non-core in 2017. We remain focused on costs, achieving a 56% core cost income ratio in the quarter, with positive jaws in both Barclays UK and International, and expect to hit our core cost guidance for the full year of £12.8 billion, adjusted for FX moves. As I mentioned at the half year, based on a U.S. dollar rate of $1.30 through H2, the £12.8 billion would translate to £13 billion. As I’ve said many times, we benefit overall from a strong dollar, as we have significant U.S. dollar profits. This is a key benefit of the geographic diversification of the Group which Jes mentioned. We made strong progress in our funding by raising close to £5 billion in HoldCo issuance in Q3, taking the year-to-date figure to just under £11 billion, while continuing to optimize our capital and funding mix, through preference share redemptions and liability management exercises at the OpCo level. In addition to demonstrating our diversification by geography and product, this slide summarizes the statutory Group results for the quarter. These numbers include the notable items which totaled £864 million negative pre-tax, compared to negative £566 million last year. This included the additional PPI provision of £600 million which reflects our estimate of the impact of the revised complaints deadline proposed in the FCA consultation paper. Overall Group statutory profits before tax were up 35% at £837 million, reflecting the gain of £535 million on completion of sale of the Index business. This resulted in attributable profit of £414 million, and a Group statutory RoTE of 3.6%. Excluding notable items, the Group RoTE would be 10.1%. Turning now to the core results, which I look at on an underlying basis. Underlying profit before tax in our core businesses increased 16% to £1.8 billion driven by the CIB, and we generated a Core RoTE of 10.4% on an average tangible equity base that was over £4 billion higher year-on-year. Core income increased 16%, with strong growth across Barclays International. Costs were up 5%, with cost savings across Barclays UK and CIB more than offset by currency headwinds. But this delivered strong positive jaws across our core businesses. And as I mentioned, we remain on track to hit Core costs of £13 billion for this year, reflecting FX headwinds, despite the £150 million real estate charge that Jes referred to. Impairment rose by £381 million from the historically low levels of last year, principally driven by model updates in our UK and U.S. card portfolios. I mentioned these at the half year, but wasn’t in a position to guide on quantum. We have been conducting a comprehensive review of our credit card impairment models, led by Venkat since he arrived as our new CRO. As a result of this, we are now taking one-off charges totaling £320 million this quarter, split roughly 60-40 across UK and U.S. cards. We do not expect to take any significant additional charges for further impairment model updates subsequent to this quarter’s one-off charge. The figures for 30 and 90 day delinquencies remain broadly stable. So, we expect this to represent an increase in our impairment stock rather than affect the expected flow of future impairment charges. The charges we are taking are designed to apply a more conservative approach to the way we provide for anticipated or actual delinquencies going forward. They don’t reflect issues we are seeing with accounts entering delinquency in the card portfolios, nor with charge-offs. The core loan loss rate increased 35 basis points to 74 basis points, reflecting these model updates. I’ve referred before to our consistent track record of double-digit Core returns, but I just wanted to highlight this again, with 10.4% RoTE in Q3 being generated on an equity allocation to the core of £42.1 billion, up £4.4 billion year-on-year, after absorbing the one-off impairment charge and real estate restructuring. Turning now to Barclays UK. Income was up 4% year-on-year, while costs reduced 1%, delivering significant positive jaws, and a cost income ratio of 47%, although I would expect this to tick up a bit in Q4, with seasonality in costs and some moderation in NIM. Headline impairment increased by £196 million year-on-year but almost all of this is due to model updates in cards. As a result, we reported a 15% decrease in PBT, but I’m comfortable with the underlying profitability trends. Excluding the one-off impairment charge, profits would have been up in the quarter. The RoTE for Barclays UK for the quarter was 21.1%. Net interest income was up 5% as a result of balance growth and some treasury income, including a contribution from liability management exercises. As a result the net interest margin increased to 372 basis points, despite the base rate cut of 25 basis points. I still expect Barclays UK NIM for the full year to be in the high 350s, as I indicated at half year. To give you an idea of the estimated sensitivity of NIM to rates, if the base rate were to remain at 25 basis points next year, NIM would likely be in the range 350 to 360 basis points, including the effect of structural hedge contribution. If the base rate were reduced to 10 basis points for 2017, it would put further modest downward pressure on UK NIM likely to take it into the low 340s. We continue to maintain the structural hedges, with net hedge contributions broadly flat year-on-year across the Group for the quarter, and for the year-to-date and as you know much of this feeds into our NIM calculations. Fee income was broadly flat, reflecting the impact of the European interchange fee regulations in cards offset by a debt sale. Our digital business continues to grow strongly, transforming our interaction with our customers, and driving increased engagement with them as a result. For example, digital unsecured lending was again up strongly, almost 50% year-on-year as we originated £1.7 billion of these loans over the first nine months, compared to the £1.2 billion we had reached by this time last year. We continue our strategic focus on automation, digitization, and data analytics, creating further opportunities for structural cost reductions in Barclays UK, which, together with our strict pricing discipline and prudent growth, make us confident of being able to sustain attractive levels of returns. Turning now to Barclays International. Just to remind you that this division was established with the re-segmentation that Jes announced in March, with diversification across wholesale banking and consumer lending products and across the geographic markets in which we operate. Q3 was an encouraging underlying performance with income growth in all three product areas and the benefit of diversification, including the significant income denominated in U.S. dollars, clearly coming through. Profits were up by 22%, generating an RoTE of 10%. As you know, we’ve announced the appointment of Tim Throsby, who joins us in January to head Barclays International. Turning now to the detail within Barclays International, and starting with CIB which increased profits by 44%. These CIB profits, which in part benefited from the stronger dollar of course, delivered an RoTE of 9.2% for the quarter, up significantly on last year’s 7.5%, and an encouraging sign of the progress towards double digit returns and this was despite the £150 million real estate restructuring. The quarter’s results showed operating leverage coming through in the CIB. Income was up 18% year-on-year to reach £2.8 billion, with record quarters for credit and for banking. Although Q3 has been seasonally weaker in recent years, it is also up on the £2.6 billion reported in each of the first two quarters. CIB has benefitted from some treasury income in the quarter but I’m very encouraged by this performance. Our flow-focused credit business again performed strongly. The revenue is up by 74% year-on-year. Macro was up 26% year-on-year. Equity was up 11% year-on-year; and banking fee was up 29%, with DCM particularly strong. As you know we do our best to track our feature and have maintained our position as a top European investment bank both globally and in the U.S. and also ranking number three in the UK. Across our combined home markets, the U.S. and UK, our fee show in Q3 increased by 50 basis points over Q2. On the corporate side, lending income was down by 25%, however this was due primarily to negative fair value move in credit hedges on lending. Lastly, transactional banking was up 9%, as income from higher deposit balances was partially offset by margin compression and the base rate reduction. Despite year-on-year cost rising 11%, reflecting the £150 million real-estate charge and the FX headwinds, we still reported significant positive jaws in the quarter. Q3 impairment cost year-on-year was £38 million and the quarterly pattern changed to reflect the incidence of single main charges. We saw a £4 billion increase in CIB RWAs in the quarter reflecting the appreciation in the dollar. Consumer cards and payments had another good quarter in terms of the business development. Although the results reflect the one-off impairment in international cards leading to a 28% decrease in profits. But the business performance excluding this one-off is strong with income increasing by 24% reflecting business growth and the benefit for the stronger dollar and euro. We’ve seen growth not only in international cards but also in payments and international wealth. Costs were up by 14% delivering positive jaws and importantly this reflected our ongoing strong investment in growth. There was £222 million increase in impairment year-on-year, over half of which was from the one-off model updates. The balance of the impairment charge principally reflects the business growth, as loans grew 20% year-on-year with some shift in business mix plus the currency effects. Despite increased impairments,, we still delivered an RoTE of 14.8% for the quarter. Turning now to non-core where we’ve made further progress on the rundown particularly with business disposals despite currency headwinds. Starting with the P&L where we reported a loss before tax of £94 million, and attributable profit of £72 million as a result of the gain of £535 million on the Index business which is shown in the other net income line. Negative top line income was a £159 million, and costs were 413 million. I’ll come back to the expected flight path but in summary we’re on track to close the non-core unit in 2017. Looking first in more detail at the RWA rundown. We have reduced RWAs by £10 billion net over the year-to-date, despite currency headwinds. In Q3, management actions delivered a £4 billion reduction, which took us to £44 billion, after a further £1 billion currency headwind. We completed the Italian branch sale and the Index business disposal and have a strong pipeline of business disposals, including the Egypt sale, which we announced earlier this month and expect to close several of them in Q4. The pro forma impact of completing all of these business disposals would be about £4 billion of further RWA reduction, including £2 billion from Egypt. We are also making good progress in the rundown of derivatives and have a good pipeline for Q4. So, our plans for non-core rundown through to the end of 2017 are on track, but we have seen a headwind from FX reflected in the sterling RWA figure, which we’ve called out over the last two quarters. We don’t of course know where the dollar and euro will be in a year’s time, but our RWA guidance for around £20 billion to be reabsorbed back into core on closure was set when sterling was significantly stronger. To give you an idea of sensitivity, at current euro and dollar rates, the £20 billion would translate to around £23 billion. We’ve also shown the quarterly income on this slide. The business income of £181 million is already on a downward trend, and the disposals in the pipeline will accelerate this. This was more than offset by the negative derivatives income of £306 million, and the £34 million from securities and loans. Derivatives income includes a funding cost element, but the bulk of the figure reflects the active rundown of the portfolio, which will remain a key feature in Q4, and some fair value headwinds from the significant market moves in rates and spreads this quarter. Turning now to the expected flight path for income and costs. This slide reiterates the guidance we gave at half year. There are quite a lot of moving parts as we approach year-end, so I think it is worth recapping. We’ve shown the top line income in two parts again, separating out those ESHLA fair value moves, which in earlier quarters were material and difficult to guide to. However, following the loan restructuring in Q2, we have seen reduced fair value volatility and of the £436 million fair value loss year-to-date, only £12 million was in Q3. So, I think that will be a relatively small influence going forward. The top line income figure year-to-date excluding this was £309 million negative. I’ve been guiding to £800 million to £900 million negative for the full year, implying a significant further negative in Q4, particularly in derivatives. I mentioned that we have a good pipeline of actions, but these are complex and generally involve multiple counterparties, so where we finish the year will depend on a number of execution factors. Taking all this into account I would expect us to be at the lower end of the range. Looking forward to next year, we would expect to have fewer one-off exit costs, as the non-core income line trends towards a very manageable residual funding cost. As I mentioned most of the Business income will erode, as disposals complete in Q4 or in the New Year, but with the lower exit costs and less volatility from ESHLA valuations, I would expect significantly less negative income in 2017. The profit or loss on business disposals is usually accounted for in the other net income line. The big item here in Q3 was the gain on the index disposal, which more than offset the impairment of the French business, to give £185 million year-to-date. With the pipeline of business disposals I mentioned on the previous slide, we would expect a net positive in Q4, but again the precise amount depends on the timing of those completions. On the cost side, we remain on track for the £400 million of restructuring costs for 2016. This of course will drop out in 2017. So, our cost guidance for 2017 remains £400-500 million excluding notable items, although currency headwinds could of course nudge that up, if the euro and dollar remain strong through 2017. Now a few more thoughts on impairment and our risk positioning. I mentioned earlier the review that our CRO has done of our impairment models across our credit card portfolios, which led to the one-off charge of £320 million taken this quarter. This slide shows the stability of our underlying 30 and 90 day delinquency trends for our UK and U.S. card portfolios, with the modest increase in U.S. cards reflecting growth and the evolution of business mix. We have also illustrated here the reduction in Barclays UK and core CRLs overall and the increase in the core coverage ratios. Since the Brexit vote, we have been keeping a close eye on all leading indicators and have not yet seen significant signs of credit stress in the UK. So in summary, we remain comfortable with our conservative risk positioning and the underlying impairment trends. Turning now to core costs. The core has delivered a good cost income ratio in this quarter of 56%, and we remain on track to hit core costs, excluding conduct and litigation, of around £13 billion for 2016, which reflects FX, despite the £150 million charge for real estate restructuring and continuing structural reform costs. But this isn’t the end of the cost journey, and we continue to focus on operational gearing as we progress towards our cost to income target of below 60% for the Group. Turning now to liquidity and funding, before I finish on capital. We maintained a solid liquidity position through Q3, in the aftermath of the Brexit vote, ending the quarter with an LCR of 125%. We made good progress on our HoldCo issuance program, raising close to £5 billion in the quarter including senior debt and capital, bringing the total to just under £11 billion for the nine months. We have continued to optimize our overall funding costs, redeeming another of our outstanding preference shares in September and carrying out further liability management exercise of capital instruments at the OpCo level. Now turning to our capital position. Our CET1 ratio at 30th of September was 11.6%, on an RWA base of £373 billion, an increase of 250 basis points since the end of 2013. Although the ratio was flat on Q2, I view this as a very strong performance given the headwinds from the pension deficit, and the PPI charge, reflecting the capital generative capabilities of our businesses. This was a quarter when RWAs were actually slightly up, reflecting FX moves. The main UK pension scheme moved from a surplus of £0.1 billion to a £1.1 billion deficit, as the discount rate reduced 48 basis points in the quarter to 231 basis points. On Africa, we continue to explore opportunities to reduce our BAGL shareholding to a level that would permit regulatory deconsolidation. As Jes mentioned, we’re working closely with the BAGL management on arrangements for operational separation, including the terms of transitional services arrangements and related separation payments. The sell down of Africa and non-core disposals should together contribute around 100 basis points of ratio accretion and these actions will take us a long way towards our current expected end state requirement. There remain further headwinds from outstanding conduct and litigation, and over time from RWA recalibration and IFRS 9, but with the organic capital generation which our core businesses are demonstrating, we are confident in our capital flight path. You’ll be familiar with the components of our potential January 2019 CET1 requirement. And as you know, we plan to hold 100 to 150 basis points above minimum regulatory requirements. As I have said many times, the quarter by quarter path to the end-state will not be linear, I think Q3 demonstrated this, but has also reinforced our confidence in our ability to build the ratio over time. The leverage ratio was flat at 4.2%, but comfortably above our minimums. So, to recap. We are making good progress in delivering the plan we announced on 1st of March and the diversification benefits of the Group are showing through. The core is demonstrating its ability to deliver positive jaws and double-digit returns, with the CIB driving this quarter’s profit increase. The non-core rundown remains on track to close the unit in 2017. We have seen significant income growth in certain areas of the core, notably international cards, but recognizing the income growth outlook may remain uncertain, we remain focused on achieving a structurally lower cost base, and are on track to hit our core cost target for 2016, as we target a group cost to income ratio of below 60% over time. We have continued to apply our conservative risk appetite and despite the one-off impairment we have taken this quarter, we believe our high asset quality puts us in a good position. We are confident our capital ratio will grow from our current level of 11.6% towards our end-state requirement, allowing us to increasingly focus on enhancing returns, as we progress the non-core rundown, and aim to converge Group returns towards core returns. Thank you. Now, Jes and I would be pleased to answer your questions, and I would ask you to limit yourselves to two questions each, so we can give everyone a chance.
Operator: [Operator Instructions] Your first telephone question today is from Chris Manners of Morgan Stanley. Please go ahead.
Chris Manners: Two questions, if I may. So, the first question was on the IB and what you are seeing in the competitive environment there. Obviously, good print and benefiting from the move in Cadle, but credit obviously looked like a standout. Do you think you’re taking share from some of the other European banks here? And maybe you could talk about the competitive environment? That would be really interesting. And the second question that I have is actually on impairments. Obviously, Venkat came in, in March and took a look at the books thought that you needed a top up there. Is he finished with that review or are there other portfolios that he’s reviewing and thinks might not have been conservatively provisioned enough, and there might be more top-ups to come? Thank you.
Jes Staley: Chris, I’ll touch on the IB competitive landscape and then I’ll pass to Tushar to talk about Venkat. It was a good quarter for us. We gained market share, particularly in the United States about 50 basis points, if you look at M&A, ECM and DCM. I think we’ve stated very clearly back on March 1st that we’re committed to being a Tier 1 investment bank anchored in New York and London. And I think that statement has generated a resonance, both internally and externally. The quarter doesn’t close the issue. We have got a long way to go. We are very contained with capabilities that we’ve got across the asset classes in the IB. The capital markets environment was pretty robust in the third quarter. So, we feel good about where we’ve got to. It is part of our key strategy to be a leading investment bank. And so, hopefully we continue to gain from that.
Tushar Morzaria: And on impairment, Chris, yes, the review’s really been around the credit card portfolio. So, I’m not expecting anything in other parts of the book. It’s a one off-charge, hopefully came through in my prepared remarks that will impact stock rather than there for the continuing flow run rate, if you like, the loan loss rate in any one quarter. Underlying, obviously credit stats for us actually remained quite stable, quite better in the UK, particularly in card actually and a slight pick-up in U.S., although it’s really reflective of changes in business mix than anything else. Probably many of you be and some of the others alluded to this review going at the second quarter, was in the position to be specific around the quantum, now that that’s done and we book and we move on.
Jes Staley: And it’s not just us versus the Europeans. I think in the third quarter we did with U.S. investment banking fees pass one of the U.S. investment bank.
Chris Manners: Could I just check your answer? So, on the impairment charge, Venkat’s been through everything and he’s happy with the coverage levels on every book or he is just looked at cards?
Jes Staley: Yes. I would say the review is specific around cards, but I’m not expecting any changes to other parts of the book; it was the impairment model in cards that we were looking at right closely.
Operator: The next question is from Tom Rayner of Exane BNP Paribas. Please go ahead.
Tom Rayner: Just a couple of questions please. The first one is still on the investment bank. Just trying to get a sense really of the sustainability of the third quarter performance, particularly moving into the fourth quarter, because I’d just like to get a sense of how much of the good performance in Q3 was really just FX driven, wondered if you could give us anything on the cost metrics, because we can the markets revenue but we don’t know quite how the IB cost metrics are coming through. And also whether or not Q3 was boosted by some sort of Brexit -- post-Brexit related volatility which may or may not now drop away. So that was my first question please on the sustainability of some of the trends in Q3. And I have a second question, if that’s okay?
Jes Staley: Tom, do you want to give us both of them and then we’ll answer it amongst us?
Tom Rayner: Sure. The second question really was just on what one of your peers has done in terms of reclassifying parts of its liquidity portfolio from held to maturity to AFS, which obviously had an impact on capital ratios. And I just wondered if that is something that Barclays would be in a position to do or something that Barclays might actually consider doing as well.
Tushar Morzaria: Tom, why don’t I take the second one and I’ll hand the IB one back to Jes. Yes, you’ll probably be aware that in that first half of the year, we did move some assets from AFS to held-to-maturity. Those assets, obviously, will remain in held-to-maturity because we got to hold them to maturity. So I don’t think you’d expect us to see any reclassifications away from there. And I am not sure there is anything more really and it’s really straightforward for us in that regard. No other sort of transfers that you should expect from us. With that Jes, do you want to cover the IB?
Jes Staley: On the sustainability issue, I would never be so brave as to say that investment banking revenue no longer has volatility to it. So that is reality. I would say in watching our performance year-to-date, and I talk about this in other forums, the correlation of our revenues to volumes in the financial markets is actually reasonably consistent, as opposed to direction. So, whereas I think a lot of investment bank performance historically might have been a function of positions on the trading desks, today it’s much more volumes that are coming through which should be a little more steady than market direction. So, volatility in IB is not done, I think. Hopefully, we’ve made some structural gains in terms of our share. And I think there is a fair degree of predictability now between our investment banking revenues and trading environments across the asset classes.
Tushar Morzaria: Tom, just to take your question on costs within that sort of sub-segment, if you like. As you pointed out, we don’t break them out. But it’s consistent story that you would have had if you look at the corporate and investment bank. Costs really rose there principally driven by the real estate charge that we called out in the call. Of course, we’ve got foreign exchange rates that inflate our cost base, but were they not there, you’d have seen cost down on a like-for-like basis.
Operator: The next question is from Andrew Coombs of Citigroup. Please go ahead.
Andrew Coombs: I have two questions on capital please. The first question is just with respect to slide 20. And there, you talk about the BAGL slowdown and the non-core disposals throwing up100 basis points to capital. I think previously, you said greater than 100 basis points. So, I just wanted to check -- presumably that’s just the index business dropping out in the third quarter. And then, more specifically of the 100 basis points, how much do you attribute to non-core versus BAGL? That would be the first question. Second question is just on the underlying capital generation. If we were to strip out pension charge, PPI, I think you’re looking at about 40 basis points, the CIB restructuring and cards provision broadly offsetting the index gain. Do you think 40 basis points per quarter is a fair estimate of your underlying capital generation? And going forward, do you see more opportunities to look at costs -- to look that debt buyback opportunity, given the underlying capital generation?
Tushar Morzaria: Thanks, Andrew. Why don’t I take those questions? So, you’re right, the only change from the half year to now is the sale of the index business. Obviously, that generated a quite sizeable gain, over 500 million, sterling. There’s virtually no -- what we’ve said, there are no RWAs associated with it really. So that’s sort of free capital that falls straight through and that’s why we revised that guidance to around 100 basis points from greater than. In terms of the -- and you also asked, I think about how much of the 100 basis points with non-core be expected to generate. We’re not going to split out. The reason I say that is I think that there is a lot of things that we’ve been making very precise estimates on over a sort of a 12-month forward, which is difficult to do. But in and around, when I look at what I expect from Africa after any exit costs, and what I expect from non-core, again given the uncertainties associated with that, then I think about 100 basis points is a reasonable estimate and that we’ll continue to guide to. In terms of underlying capital generation I mean I think of it this way. The core business has at the moment 42 billion tangible equity allocated to it. That will certainly rise as we wind down the non-core. We want to be making a 10% return on that, so that gives you a sense of we should be throwing off £45 billion of capital coming out of the core businesses over time and we’re sort of approaching at those levels already. That’s comfortably above 100 basis points of capital in terms of ratio accretion, probably closer to 150 basis points. So, that’s really where we’d like get to. And I think this quarter in fact over this year hopefully seeing progress towards that.
Andrew Coombs: And do you see more opportunities in terms of you’ve done the CIB property rationalization, are there more opportunities like that out there?
Tushar Morzaria: Yes. I mean you also questioned specifically on debt buyback. So, we’ve been doing liability management exercises it’s almost regular way business for us and some of you have commented on that. We did some in January; we did some preference share buyback in the summer; we did another buyback of capital note in the summer as well. So we’ll continue to be opportunistic around where we see opportunities. I think in terms of real estate, Jes, you may want to just focus a little bit more about how you see that and changes around there.
Jes Staley: This was a pretty big move in 25% of our footprint in the UK. There’s some correlation between headcounts and real estate. Our headcount now is down 14,000 people since we began this. With the disposals in the fourth quarter, that will grow by another 3,300. So, it’ll be north of about 17,000 headcount net reduction for the year. So, where we can take gains in the real estate side, we’re willing to take the charges like we did in the third quarter. But this is a fairly important move for us.
Operator: The next question is from Michael Helsby of Bank of America Merrill Lynch. Please go ahead.
Michael Helsby: I’ve got two, if I can. Just first one is more on the shape of the Group. I think clearly the outlook after Brexit for the UK bankers has deteriorated and at the same time the outlook for the IB business, whether it’s sustainable or not, certainly looks better given the market share opportunities in Europe. I think, Jes, before you arrived, Barclays had committed to limiting the IB balance sheet to around 30% of the Group. I was wondering if you thought that was still an appropriate cap or whether given the opportunities now you think there’s a chance to expand beyond that. That’s question one. And question two is just a follow-on really from that cap that 100 basis points question. I think in the past you talked about 80 bps of benefit from Africa. So, I guess the 20 basis points that’s left, is that just for the fourth quarter disposals that you flag or is that supposed to be the benefit from shrinking the whole of non-core down to 20 billion or lower? The reason why I ask, because if it is the latter, then that implies quite big losses in future periods that don’t seem to be reflected. Thank you.
Tushar Morzaria: So, why don’t I take first, Jes, and then you want to take the shape of the Group? Just briefly on second one, Michael. You quoted that number for Africa, I’ll just be a little bit cautious about that. Not to say it’s a bad guess but obviously it will depend on whether shares are trading in rand, obviously where the currency is, and various other effects. But it will be a meaningful capital release from Africa is our expectation. The other part of that 100 basis-point is the business disposal. We’ll get a decent slug of them done in the fourth quarter. We expect some may trip in to new year, disclosure dates are -- being very precise on some of this stuff. So hopefully that characterizes that. And I’ll hand over to Jes.
Jes Staley: In terms of the capital allocated to the corporate and the investment bank, whilst we made progress over the last couple of quarters, we are not where we want to be at in terms of profitability in that business. So, there is a lot of listing that we have to do to securely cover our cost of capital. So, as such, it wouldn’t be the first place that we’d allocate balance sheet to. The second comment I would make about it is I think we have significantly moved to an agency model as an investment bank. And I think we have enough capital allocated today to support that agency model, but I would not want to return to that business being principally warehouse of risks. So, we got more to do there; we are comfortable with what the investment bank has done. But we are not going to be adding balance sheet there.
Operator: The next question is from Chris Cant of Autonomous. Please go ahead.
Chris Cant: I had two if I may. First, on Africa, I just wanted to ask whether you could give us some guidance of the potential ballpark cost of these separation agreement costs you’ve talked about. Obviously, it feels like that’s potentially eating into the amount of capital that you are expecting to generate there. I am just curious whether you have a ballpark in mind. And secondly, do you have any views on the likelihood that you might drop a G-SIB bucket when these are updated in November?
Tushar Morzaria: Hey, Chris. Let me take that. In terms of Africa, we’ve got nothing really new to say on that. Obviously the math behind the capital really -- I know you are very familiar with this, just a combination of obviously the price at which we can expect the shares, currency rates, separation costs, and the amount of RWA release that will give; I know many of you’ve done that quite correctly. We’ve got nothing new to say on the separation costs. We know there will be separation costs in Africa, particularly outside South Africa for the best part of 100 years actually. So that’s why we’ve always given ourselves two to three years to complete the transaction. But for the capital guidance that we are talking about is sort of 100 basis points or so South Africa and other disposals; that’s net of any separation costs that we make incur. In terms of G-SIB, we are hopeful that we are progressing towards something like that. I think Basel committee will be coming out with -- by the 2016 results, the 2016 data in November. So, I guess we’ll all know shortly, probably no point in me speculating on that, but it’s something that we hopeful of, if we don’t get it this year, we like to think we have a strong chance next year, if not already. So, we’ll see.
Chris Cant: That’s very clear. Thank you. On the Africa point, on slide 20, I just note the footnote says -- I don’t know whether this is just sort of a boilerplate statement, but you say there can be no assurance on the intended benefits being achieved on any proposed timetable or at all with regard Africa. So on the separation, is that proving a lot more difficult than you expected? Because I know you originally gave the two to three year timeframe but it felt like you were hoping to beat that and it now feels like it might be heading back towards two to three years.
Tushar Morzaria: No, my General Counsel, Bob Hoyt, takes care of the footnotes for us. So, it’s nothing other than keeping us on the straight and narrow. No, I mean, it’s progressing well. We have a terrific relationship with that the BAGL management team working very closely together on this. It is a complicated transaction, and we’re under no time pressure to get it done, which is why we’ve always said two or three years and we’ll stick to that. But nothing’s really changed since we last spoke to you. I don’t know, Jes, is there anything you want to add?
Jes Staley: And we’re making good progress in getting that separation agreement done.
Operator: The next question is from Fiona Swaffield of RBC. Please go ahead.
Fiona Swaffield: Two things. First thing on pensions, things have recovered since the end of September. So, should we expect that drag we’ve seen in Q3 to revert somewhat in Q4? And the second issue is just on Barclays International, the investment bank. Is there any way we could have some of the revenue growth numbers currency adjusted, so ex-currency trends just to try and see where you are versus peers on ex the currency move?
Tushar Morzaria: Thanks Fiona. Let me take them. On pension, yes, you’re right that interest rates, risk free rates have backed up and credit spreads have backed up a bit as well, which is helpful, and equity prices remain firm. Against that, it’s been muted somewhat because inflation assumptions have increased as well. And actually, another input into these calculations is the volatility of those inflation assumptions and that will have move as well. So, I think it’s fair to say that some of it’s come back, but not all of it. It is a spot calculation, so where it will be at the end of December of course, everybody can take a guess on that. In terms of currency effects within Barclays International, we pointed out we are very much a beneficiary of a strong dollar. We’re profitable in dollars and that is helpful. We haven’t chosen to call out the precise currency effects because we’d have to then do that every single quarter. But of course, it’s something that’s positive for us, but we try and manage our business through a currency cycle to the extent there is one, and we’ll get some good times with that and we’ll get some not so good times with that. And that’s just the way it is. I don’t know, Jes, is there any more you want to add.
Jes Staley: Yes. Fiona, I’d just direct you to, in terms of the identifiable revenue numbers for investment banking in the U.S. for instance, our market share went from 5.8% in the second quarter to 6.3% in the third quarter. So that’s one way to look at it without any impact of currency.
Operator: The next question is from Martin Leitgeb of Goldman Sachs. Please go ahead.
Martin Leitgeb: Also two questions from my side, please. And the first one is referendum related. So, obviously, with the prospects of a hard Brexit and the risk associated with losing passporting rights, how do you look at the attraction of building out an increased platform on the Continent, in particular for your corporate and investment banking division, and how would that differ in a soft or hard Brexit scenario? So, what different impact should we expect between those two outcomes? And secondly, there was some press coverage about the Bank of England inquiring on exposures to Deutsche Bank and to Italian banks. And I was just wondering if you could comment on the nature of those inquiries.
Jes Staley: Vis-à-vis Brexit, we have stated that is a strategically important to us to maintain our business model in Europe. We’re the largest underwriter of European Sovereign debt. We obviously have great corporate relationships across the Continent. We’re not going to comment obviously because I think it’s way too early to assume one move or another. We are very much committed to London; we’re very committed to the UK. There’s a long way to go on negotiations. We do have alternatives. We have a full bank subsidiary in Ireland for instance. We have got a very large credit card operation in Germany. So, we are looking at our options, but as of now our view is that or our hope is that the regulators and the politicians will continue to except the value of Europe having access to the capital markets which are resident in London. Vis-à-vis the Bank of England, we’re obviously always in discussion with the Bank of England but with respect to that one particular article, we really don’t have any comment. We’re very comfortable with our exposures to Europe and so don’t have any concerns. So, I’ll sort of leave it at that.
Operator: The next question is from Jonathan Pierce of Exane BNP Paribas. Please go ahead.
Jonathan Pierce: A couple of numbers questions, if I can. The first one is just to get some clarity on the size of some of these gains that you’ve talked about but not called out in either notable or the text, so in particular the treasury gains across UK, international, and head office. Maybe you can talk a little bit about any LME gains in the income line there and the size of the debt sale that you refer to on the card portfolio? That would be the first question please.
Tushar Morzaria: Jonathan, do you want to give us them both and we’ll pass it around between us.
Jonathan Pierce: This maybe links in a little bit because I am not entirely clear what these treasury gains are, but the second question is that if I look at the balance sheet, some big movements in the quarter in terms of the shape of the liquidity portfolio. So, the cash at the central bank was up £15 billion in the quarter, which roughly matches the fall in the AFS portfolio. I’m just wondering, not wanting to be too cynical, but we saw in the first half disclosure that the AFS portfolio on government bonds wasn’t perfectly hedged. So, I would have expected the AFS reserves to have gone up in the third quarter, but it didn’t. And I am just wondering whether there has been some recycling of some AFS gains through the P&L in the third quarter. Is that what the treasury gains are or is that separate to that?
Tushar Morzaria: We did -- the point in question is we did make mention of treasury related gains across our income lines. And we’ve put it in because they are there. But I would probably characterize it as, if you like, quotes, regular-way treasury. What I mean by that is we’re doing liability management exercises almost as a matter of course these days. We did some in the first quarter; we did some again in the third quarter and then done them in several other quarters. And of course sometimes we make money on them, but not always, but whatever we do, we tend to just pass them through to the businesses. Where it’s individually significant, we will not only call it out but we’ll quote a number. And so, for example, to give you a sense of what I think is important to call out, the restructuring charge for real estate was of a quantum that I thought merited calling out rather than just being referred. The liability management exercise, it’s just that the main driver of these treasury operations; it wasn’t of that quantum to call out. And similarly that debt sale, again it did happen; so, it’s something that we give us qualitative it commentary wasn’t of the quantum that merits an individual number associated with it. But hopefully that answers your question. On the AFS gains, let’s call the ASF performance, again, there is nothing notable I would call out of that; there is no changing, if you like, liquidity pool strategy or investment strategy. We do rotate in and out of different liquidity instruments and that’s regular way business for us. But again nothing individually I’ll call out this quarter.
Jonathan Pierce: So, you are now -- sorry to come back on that, you are now holding over £90 billion of cash with the central bank, which is a huge shift on the start of the year when it was I think £47 billion. What is going on there? And I’m just wondering, maybe on a positive, is there an opportunity to shift that back into slightly higher yielding assets into next year.
Tushar Morzaria: Yes. So, part of that was as we went through the summer and we did one that hold a lot of free liquidity, very uncertain what the Brexit vote would come out and we gladly held a lot of liquidity. A lot of the cash that we have generated that was actually from very short-dated funding instruments. So, it doesn’t make a huge amount of difference in that sense. We are very mindful of it -- your point is a good one but we are very mindful of the cost of our liquidity falling when we are running probably a little bit more liquidity than we would typically otherwise run, we do pay a lot of attention as to how much of that is costing us, so where we see opportunities to potentially run a lower liquidity coverage ratio or slightly smaller but we will take advantage of that. But again, I wouldn’t guide to that being anything other than that’s what we were doing at the regular quarterly way of managing our excess cash.
Jes Staley: As we went into the Brexit vote, it’s prudent to say, we want to be absolutely bulletproof in terms of our liquidity positioning, given some of the volatility that we’ve see in the market, we just wanted to absolutely confident in the strength of our balance sheet.
Operator: The next question is from Fahed Kunwar of Redburn. Please go ahead.
Fahed Kunwar: Just a follow-up on that point, and the treasury income and the debt sale. So, it’s kind of more business as usual now, and if there’s opportunity in the liquidity portfolio. When you gave the guidance of the 350 basis points to 360 basis points on margin on UK retail, are you including the potential for those opportunities or is that potential upside from that 350 basis points to 360 basis points? And I’ve got a second question as well related on the deposit pricing. Obviously, you do say if the base rate is cut to 10 basis points, then your margin will come down to the low of 340. Is that you guys basically saying you’ve run out of road on cutting back but deposit rates now, you’ve done basically all you can? Those are the two questions.
Tushar Morzaria: On the net interest margin guidance, think of that as all in. It will ebb and flow if there’s things like liability management exercise or anything like that, but think of that as pretty much all-in blended rate. In terms of our ability to re-price deposits, we are running out of runway and re-price. I mean you can go on our website and just look at our deposit rates and you’ll see that we’re probably towards the lower end of the industry, and there’s very little capacity for us to continue to do that. But we’ll see where base rates go, we’ll see where the curve is, and that will obviously have some bearing on how our structural hedges perform as well. The guidance we gave to you was, all things being equal, same curve, same rates, same everything, we’ll have a little bit of a margin pressure, if there’s another short-term rate cut.
Operator: The next question is from Chintan Joshi of Mediobanca. Please go ahead.
Chintan Joshi: Can I have two as well, please? The first one on costs. If I look at your guidance about £13.1 billion cost run rate, and when I think about next year, now that we are getting towards the end of the year, FX adjusted, that feels more around £13.5 billion. But also you have quite a few structural costs in there that muddy the picture. So, I am just trying to get a sense of the underlying rate that we should be thinking about going into next year. And then, secondly, when I look at the expensive sub-debt that is still left for refinancing, but also the TLAC issuances you have to do, how do you see the combination of those two playing out? And I realize credit spreads keep moving from quarter-to-quarter, but if you can help us think about the kind of ranges that you see as a combination of that exercise?
Jes Staley: So, for the first one, Chintan, I would lead you to the cost to income ratio target that we’ve set for ourselves on March 1st of being 50% or lower for the Group. Our core cost to income ratio in the third quarter was 56%. And you’re right to point out that includes a number of one-off charges like real estate, like the cost of SRP that we used to put after the line, now we put it inside the line, because we own those numbers. What I would say is -- and we have a lot of investments that we would like to make in Barclays around technology, particularly in our core operating platform. So, our goal is to keep the cost to income ratio below 60%, but to not shy away for making the investments that we have to make to bring Barclays into being one of the most efficiently run banks in the world.
Tushar Morzaria: On the second question, Chintan, I’ll say it, we think it’s broadly flat. You mentioned a lot of variability in terms of moving parts with sub-debt rolling off, cost of new issuance, refinancing, new issuance premiums, et cetera. Our view is it’s still a pretty attractive issuance market. You’ve seen that in the amount of issuance we’ve done already over the course of this year. We’re probably ahead of where we thought we would be. We still find it’s an attractive market to issue in. But I think with the blended manner, not seeing that this would necessarily increase our funding costs to any great degree.
Chintan Joshi: Just quickly on that, yes, I don’t expect it to increase. I’m just wondering whether the benefit can be substantial because the TLAC issuance costs will eat into the benefits -- are we talking about substantial benefits here or is it kind of breakeven?
Tushar Morzaria: The reason why I don’t want to speculate too much on it is because things can move really quickly. Look where we were at the beginning of the year, where it was very difficult to issue wholesale funding for banks, but then you got into the summer where it was a very good issuance period. And that’s why I’m sort of a little bit reluctant to sort of speculate too much. I think here and now as we look at the debt capital markets now, it feels like an attractive place to be issuing, and we’ll take advantage of that, as you’ve seen us do historically. At these attractive levels, I guess I’ll let you infer from that because that’s going to make our blended funding costs attractive. But I wouldn’t speculate on the quantum.
Operator: [Operator Instructions] Your final telephone question today is from Peter Toeman of HSBC. Please go ahead.
Peter Toeman: I just want to ask this because it occurs recurrently asked by clients. But the U.S. intermediate holding company, the UK ring fence, how certain are you that those institutions are not going to lead to sort of craft capital, and parts of the Group having to have much higher core equity Tier 1 than you’re targeted 12%?
Tushar Morzaria: Peter, you’re right to point out that almost by design, the intermediate holding company and the other ring fence banks will make our capital position less efficient than it would otherwise have been, because it would have to be more formal in the way we can move capital around the company. Having said that, we think it’s very manageable. We think we can generate the appropriate return for that invested capital. And we’re sort of running the businesses already on a virtual entity basis, even though all these entities haven’t been created yet. So, it’s kind of part of our everyday businesses as we speak. So, I guess all I’d say is, Peter, it’s a fair point but we believe it’s been manageable and we can generate the appropriate level of returns on that invested capital. Thanks. I think that’s the final question. Any wrap up comments, Jes?
Jes Staley: No, just thank everybody for all the hard work you’ve put in, in understanding Barclays. We also have a great IR team, so feel free to put more calls in as you look to understand the third quarter, which we feel pretty good about. Thanks.